Graeme Jennings: "
Renaud Adams: "
Marthinus Theunissen: "
Bruno Lemelin: "
Sathish Kasinathan: " BofA Securities, Research Division
Tanya Jakusconek: " Scotiabank Global Banking and Markets, Research Division
Anita Soni: " CIBC Capital Markets, Research Division
Mohamed Sidibe: " National Bank Financial, Inc., Research Division[ id="-1" name="Operator" /> Thank you for standing by. This is your conference operator. Welcome to the IAMGOLD Third Quarter 2025 Operating and Financial Results Conference Call and Webcast. [Operator Instructions] The conference call is being recorded. [Operator Instructions] At this time, I would like to turn the conference over to Graeme Jennings, Vice President of Investor Relations for IAMGOLD. Please go ahead, Mr. Jennings.
Graeme Jennings: Thank you, operator, and welcome, everyone, to our conference call today. Joining us on the call are Reno Adams, President and Chief Executive Officer; Martin Newson, Chief Financial Officer; Bruno Lemelin, Chief Operating Officer; Annie Torkia Lagace, Chief Legal and Strategy Officer; and Dorna Quinn, Chief People Officer. We are calling today from IAMGOLD's Toronto office, which is located on Treaty 13 territory on the traditional lands of many nations, including the Mississaugas of the Credit, Anishinaabe , the Chippewa, Haudenosaunee and the Wendat Peoples. At IAMGOLD we believe respecting and upholding indigenous rights is founded upon relationships that foster trust, transparency and mutual respect. Please note that our remarks on this call will include forward-looking statements and refer to non-IFRS measures. We encourage you to refer to the cautionary statements and disclosures on non-IFRS measures included in the presentation and reconciliations of these measures in our most recent MD&A, each under the heading non-GAAP Financial Measures. With respect to the technical information to be discussed, please refer to the information in the presentation under the heading Qualified Person and Technical Information. The slides referenced on this call can be viewed on our website. I'll now turn the call over to our President and CEO, Renaud Adams.
Renaud Adams: Thank you, Graham, and good morning, everyone, and thank you for joining us today. This is an exciting time for IAMGOLD with another quarter of production, led by strong performance at Cote Gold and Esakana mines, helping to fuel record cash flow generation for the company. The current strong gold market has been very well timed for IAMGOLD, coinciding with the advancement of our assets, allowing the company to advance our strategic plans ahead of schedule. We are proud of this transformation and also to introduce today our new logo and refreshed brand, which we believe reflects who we are today. We are extremely proud of our roots and history. But now our name stands for innovative, accountable mining. IAMGOLD is a modern gold mining company that is proudly Canadian with strong cash flow and significant long-term growth opportunities ahead. We mine with a mining redefined purpose in mind, putting safety, responsibility and people first. We hold ourselves accountable and embrace change and drive innovations at every level from smarter systems and technology to better ways of working. There are many highlights to discuss for IAMGOLD today from our operations, financial achievement and an improved share buyback program, which remains subject to TSX approval. We will also discuss our forward-looking plans, including the expansion scenario for Cote Gold, which is expected to demonstrate significant upside to the current mine plan at Cote. Finally, we will cover the recent announcement of acquisitions to consolidate the Chibougamau region in Quebec to create an elegant complex. These transactions further position IAMGOLD as a leading modern Canadian-focused multi-asset gold mining company. I am proud of our team's achievement and remain confident in our ability to deliver enduring values for our investors and partners while maintaining a steadfast commitment to safety and accountability. Turning to the quarter, and we're now on Slide 5. At IAMGOLD, the safety of our people and communities remains our top priority. In the third quarter, our total recordable injury rate was 0.56, a 15% improvement year-over-year on a 12 months rolling average and comparing well with our industry peers. We are focused on advancing our critical risk management program, including an important integration of contractor into the IAMGOLD way of safety management with the goal to reduce high potential incidents. Looking at operations on an attributable basis, IAMGOLD produced 190,000 ounces of gold in the third quarter. The quarterly performance was led by strong results at Cote, which produced a record 106,000 ounces on a 100% basis. followed by improved quarter-over-quarter attributable production at Essakane as the mine saw grades bounce back while mining deeper into Phase 7 of the pit. Year-to-date, IAMGOLD has reported 524,000 ounces of attributable production. As we will walk through in a moment, production is expected to be the highest in the fourth quarter, positioning the company well to achieve our guidance target of 735,000 to 825,000 ounces of gold this year. On a cost basis, IAMGOLD reported third quarter cash cost of $1,588 an ounce and an all-in sustaining cost of $1,956 an ounce. Costs remain higher year-to-date as the record gold prices directly translate into higher royalty compound with the new royalty regime in Burkina Faso as well as higher unit costs at Cote from an increased proportion of supplementary contracted crushing to stabilize operations during our first full shutdown and until the second cone crusher is installed in the fourth quarter. Cash costs and all-in sustaining costs for the year are expected to be at the top end of the guidance range, though we expect to see a strong end to the year with higher expected cash flow in the fourth quarter on an improved production and higher margins. With that, I will pass the call over to our CFO to walk us through our financial highlights. Maarten?
Marthinus Theunissen: Thank you, Rud, and good morning, everyone. It was indeed an important quarter for IAMGOLD as we were able to use the strong financial results to take significant steps towards our goal of delevering the company and advancing our plans to reward shareholders. Mine site free cash flow was $292.5 million in the third quarter, a record achieved of IAMGOLD's high production levels following the ramp-up of project, increasing the company's exposure to the gold price during a record high gold price environment. The record mine site free cash flow improves our financial position and the company's net debt was reduced by $210.7 million to $813.2 million at the end of the third quarter. IAMGOLD had $314.3 million in cash and cash equivalents and approximately $391.9 million available on the credit facility resulting in total liquidity at the end of the third quarter of approximately $707.2 million. As we noted last quarter, Essakane declared a significant dividend in June of approximately $855 million, representing all of the undistributed profits of Essakane up to and including the 2024 financial year. IAMGOLD's 85% portion of the dividend net of taxes was approximately $680 million and is expected to be paid over the next 12 months through a revised framework that enables payments to be made at any time of the year based on the cash generated in excess of working capital requirements by Essakane. At September 30, $186 million of IAMGOLD's consolidated cash and cash equivalents was held by Essakane in Burkina Faso. -- which was used to pay IAMGOLD a dividend of $98 million in early October. The remaining portion of the company's dividend receivable was converted into a shareholder account with the first payment against the shareholder account of $56 million also received in October. The company expects to receive monthly payments going forward. These funds were used to make additional payments of $170 million against the company's second lien notes with $130 million of the original $400 million remaining outstanding on the 4th of November. Holistically, when we consider our liquidity outlook under high gold price environment, we are in the fortunate position to continue to repay debt and commence in the not-too-distant future on another of our strategic initiatives, which is to reward our shareholders. Accordingly, subsequent to quarter end, our Board of Directors approved a share buyback program to be put in place through an NCIB program, allowing for the purchase of up to approximately 10% of IAMGOLD's outstanding common shares. All common shares purchased under the NCIB will be either canceled or placed under trust to satisfy future obligations under the company's share incentive plan. IAMGOLD will file a notice of intention to implement an NCIB with the TSX and which is subject to TSX approval. Following the approval, IAMGOLD will be allowed to purchase these common shares over a 12-month period in the open market. This initiative reflects management confidence in the company's long-term value and its commitment to disciplined capital allocation. The actual number of common shares that may be purchased if any, and the timing of such purchases will be determined by the company based on a number of factors, including the company's financial performance, the availability of cash flows and the consideration of other uses of cash, including capital investment opportunities and debt reduction. Turning to our financial results. Revenues from continuing operations totaled $706.7 million from sales of 203,000 ounces on a 100% basis at a record average realized price of $3,492 per ounce. Cost of sales, excluding depreciation, was $324.2 million and adjusted EBITDA was a record $359.5 million compared to $221.7 million in the third quarter last year. At the bottom line, adjusted earnings per share in the third quarter was $0.30. Looking at the cash flow waterfall on the left side of Slide 7, we can see the year-to-date impact on our operating cash flow of the gold prepay deliveries, which we completed in June as well as the impact of the second lien term payment and the dividend payment to the government of Burkina Faso following its account driven declaration. On a mine site free cash flow IAMGOLD generated $292.3 million in the third quarter, including $135.6 million from Cote and $150.5 million from Essakane, driven by higher revenues due to the higher realized gold price, partially offset by higher production costs. And with that, I will pass the call to Bruno Lemelin, our Chief Operations Officer, to discuss our operating results. Bruno?
Bruno Lemelin: Thank you, Martin. Starting with Cote Gold, it was a strong quarter with Cote reaching new milestones while maintaining stable performance at the processing plant. Notably, the plant underwent its first full shutdown in August, which was executed successfully. I'm very proud of our team at Cote. It's important to remember that it's still the first full year of operation at the mine with nameplate throughput achieved at the end of Q2. Our teams are learning every day how to better position Cote for success, including the refinement of the mine plan of the maintenance schedules and identifying efficiency to drive continuous improvement. Now looking at the third quarter, Cote produced 106,000 ounces on a 100% basis, which is a record quarter of production for the mine. Mining activity totaled 11.5 million tonnes in the quarter with 3.8 million ore tonnes mined equating to a strip ratio of 2:1. The average grade mined was 0.96 gram per tonne in line with plan and demonstrating good reconciliation with our reserve and grade control model. Looking ahead, mining activities will continue to work on extending the pit perimeter to support efficient gold mining and also in preparation for the future expansion of Cote. On processing, mill throughput totaled 3 million tonnes in the quarter, averaging near nameplate in July and September. The first annual maintenance shutdown in August was successful with the comprehensive maintenance cycle completed and including the replacement of the high-pressure grinding roll tires, relining of the ball mill, changes to the primary crusher outer shell and additional maintenance work on the electrical infrastructure. Head grade averaged 1.18 gram per tonne with feed material comprised of a combination of direct feed ore and stockpiles. Mill recoveries averaged 94% in the quarter, which continues to be above design rates. Turning to cost. A major driver of cost this year has been associated with the temporary aggregate crusher, which is being contracted to support the processing plant. The plant was built with a single secondary cone crusher as part of the crushing circuit. And through day-to-day operations, we learned that this is a bottleneck. This has been addressed with the addition of a second cone crusher to sustainably achieve the nameplate throughput rate and provide redundancy during shutdowns. We accelerated the push to achieve nameplate to midyear from our original target of Q4 in part because we found a way to maximize throughput and offset the bottleneck by incorporating an additional refeed system using a contractor aggregate plan. Moving ahead, nameplate by 5 to 6 months allows for maximizing tonnes milled today versus waiting for the second cone crusher to provide the additional facility. This may account for an extra $4 per tonne milled, yet brings the opportunity to monetize tonnes already mined through the end of the year. In the third quarter, the aggregate crusher processed a higher proportion of ore due to the shutdown in August. The use of the aggregate crusher is expected to be reduced following the installation of the secondary cone crusher in Q4 and eventually eliminated. Looking at mining costs, we averaged $4.51 per tonne in the third quarter. Mining costs are higher than planned due to higher tire and wear and also impacted by the operation of the aggregate crusher and the feed system. The aggregate crusher requires the utilization of mining equipment to feed it, including haul trucks and a shovel, resulting in higher amounts of rehandling that is accounted to mine. These trucks will decrease into 2026 as further operational improvements are made and the elimination of the contracted aggregate plan. Milling unit costs also increased in the quarter, averaging $22 per tonne mill. The temporary aggregate crusher system has a direct impact on our processing unit cost as it is more costly to operate. And in the third quarter, we rely on it more due to the August shutdown. Overall, we estimate around $6 per ton was associated with the cost of the aggregate crusher in the third quarter. Maintenance costs to replace the HPGR tire and wear components accounted for $1.87 per tonne during the quarter. Unit costs are expected to decline over the course of 2026 following the installation of the additional cone crusher in the fourth quarter of this year. Looking ahead, we remain confident in our Cote Gold production guidance of 360,000 to 400,000 gold ounces on a 100% basis, which is essentially a doubling of production from last year. As noted here, we expect cash costs to exceed the top end of our updated guidance range of $1,100 to $1,200 per ounce sold, primarily due to a combination of higher royalties impacted by a significant increase in gold price, an increase in the expected usage of the supplementary crushing during the year to support the mill feed and the expensing of certain parts and supply that were previously expected to be capitalized. Taken together, Cote is performing very well from operation of this site less than 20 months after pouring its first gold. We are looking forward to seeing the impact of the installation of the second cone crusher in Q4 on availability and throughput paving the way for future expansion option, which leads us to what is the most exciting slide, the advancement of the Cote Gas and super pit scenario. As we have discussed previously, we are working towards announcing in 2026 an updated mine plan that envision the Cote operating at a higher throughput, targeting a significantly larger ore base from both Cote and Gosselin. The first step is drilling out the super pit of Cote and Gosselin to provide the resource foundation for the mine plan. Our drills are busy at work with over 50,000 meters drilled so far this year with the goal to infill and upgrade mine and bring the bulk of mineralization there into measured and instated. Our currently designed, Cote has the mining capacity to average an annual ore mining rate of 50,000 tonnes per day versus our current nameplate processing rate of 36,000 tonnes per day. As part of the 2026 technical report, we will look to find the right balance between an increased processing rate with mining rates targeting the combined Cote Gosselin super pit. In this scenario, we anticipate a mine plan that prioritize the expansion of the plant, which should be implemented years before other major capital items that would be part of the super pit scenario, including tailings capacity expansion and all. The updated mine plan and technical report is expected to be completed by the end of next year. And in the interim, we will continue to focus on optimizing Cote, reducing our cost profile and capturing low opportunities for operational improvements and capacity expansion. Turning to Quebec. In the third quarter, Westwood produced 23,000 ounces, bringing the year-to-date production to 76,000 ounces, tracking below the bottom end of the guidance range of 125,000 to 140,000 ounces. The third quarter at Westwood saw similar results as prior quarters this year as mining activities underground operated to lower grade stopes encountering areas of challenging ground conditions resulted in higher-than-expected dilution and lower mining recoveries. The teams are implementing mitigation measures that include changes in blasting techniques and refinement, stope design and sequencing. We are already seeing improvements from these efforts in October with the average grade so far this month from underground averaging over 9 gram per tonne in the month. The Grand Duc open pit added another quarter of decent ore volumes with a reported of 315,000 tonnes mined. Open pit activities from Grand Duc are currently being evaluated for an expansion and extension of the pit. The outline scenario would push the pit into Phase 4, which would allow for mining until 2027. Mill throughput in the third quarter was 250,000 tonnes, which was below the average throughput rate over the previous quarter due to a 14-day shutdown of the plant in July for the replacement of a critical gear in the grinding circuit, resulting in plant availability in the quarter of 75% versus 90% in the same prior year period. We expect to see mill throughput return to near 90% as we see in the fourth quarter. As a result of the low availability and lower tonne mill, we saw an increase in milling unit costs in the quarter. Likewise, mining costs also remained elevated due to an increase in the number of stopes prepared underground to set up the mine for the remainder of the year, combined with an increase in mining cost, labor cost and exclusive and power consumption. Together, cash costs were $1,924 an ounce in the quarter. Looking at this year, as noted, Westwood production is expected to be below the bottom end of the range of 125,000 to 140,000 ounces. Accordingly, and despite unit cost improvement expected in the fourth quarter, annual average cash costs are expected above the guided range of $1,275 to $1,375 per ounce and AISC is expected to be above the range of $1,800 to $1,900 per ounce. The turnaround in October is expected to be sustainable as we continue to refine stope design and the varying underground condition at Westwood. Despite the challenges in the first 9 months of this year, I'm very proud of the team there as they have demonstrated their innovative and accountable mindset to operation, safety and environmental care. Turning to Essakane. It was a strong quarter for the mine with production of 108,000 gold ounce on a 100% basis or 92,000 ounces based on our 85% interest. Production rebounded on higher grades as mining activities were deeper into Phase 7. Mining activity totaled 8.7 million tonnes with ore tonnes mined of 3.2 million tonnes, equating to a strip ratio of 1.7:1. Total tonnes mined was lower than prior periods as the mining fleet did not operate at full capacity in August due to a fuel shortage in the country. The situation improved in September and the mining fleet was able to operate at capacity to end the quarter and into October. Net throughput was 3.1 million tonnes at an average head grade of 1.18 grams per tonne. The transition to the higher grade benches in Phase 7 was initially expected earlier in the year, but was realized in the third quarter. Grades have continued to reconcile positively to the reserve model in October, positioning the mine for a strong fourth quarter. On a cost basis, Essakane reported cash costs of $1,737 per ounce and AISC at $1,914 an ounce in the quarter, an improvement on the prior quarter. Despite the production improvement costs remained elevated in the quarter. Over the same period last year, royalty costs have increased 61% on a per ounce basis due to the strong gold market and the new royalty decrease. Royalties accounted for $283 an ounce in the third quarter. Additional drivers include a higher proportion of mining costs being expensed as well as higher maintenance activities and an increase in consumable costs, including diesel and grinding media. With the equivalent labor, contractor and facility costs also increased due to the appreciation of the local currency, which is drag to the euro. Looking ahead, we estimate that Essakane will be at the midpoint of the 100% basis estimate of 400,000 to 440,000 ounces, which equates to the lower end of the attributable production guidance target based on 85% of 360,000 to 400,000 ounces. Production is expected to be higher in the first quarter due to the higher grade as the mining sequence move in the primary zone of Phase 7. Cash costs are expected to be at the higher end of the guidance target of $1,600 to $1,700 per ounce sold and AISC is expected to be $1,850 to $1,950 per ounce sold. Looking beyond next year, we are initiating conversations with the government on the mining lease renewal when ours expires in 2028. While the cost of operations in country have risen, Essakane continues to be a world-class mine and an important member of the Burkinabe. The mine has over 2 million ounces in reserves and is positioned to generate significant free cash flows moving forward. With that, I will pass it back to Renaud to discuss our latest exciting news coming from Chibougamau Chapais. Renaud?
Renaud Adams: Thank you, Bruno. I really want to take a moment here to talk about our news from the 2 weeks ago when IAMGOLD announced the proposed acquisitions of Northern Superior in Orbec mine for total consideration of approximately $267 million in shares of IAMGOLD and approximately $13 million in cash. The strategic rationale for these transactions are clear when you look at this map here. Our goal was to consolidate IAMGOLD's land position and gold resources in the Chibougamau Chapais district, where IAMGOLD Nelligan and Monster Lake assets are located, creating the next great Canadian mining camp. Our Nelligan deposit has 3.1 million ounces indicated and another 5.2 million ounces of inferred with rapid growth from minimal drilling in recent years. Nelligan is a large-scale open pit style of deposit with average grades around 0.95 grams a tonne. Monster Lake located approximately 15 kilometers north of Nelligan is a high-grade underground style project. Prior to the acquisition announcement, we were looking at putting out economics on Nelligan and Monster Lake envisioning a project that would take most of the ore feed from Nelligan with a high-grade kicker from Monster Lake. The potential additions of Philibert may result in a revised time line of technical study and proposed mining scenario. Northern Superior's primary asset, Philibert, is an open pit style deposit located 8 kilometers northeast of Nelligan. Philibert has estimated mineral resources of approximately 2 million ounces at an average of 1.1 grams of gold, making it at this time, smaller but yet higher grade than Nelligan. In the consolidated scenario in a conceptual mill to pit and underground complex mine plan, we envision Philibert as having the potential to be the initial deposit due to the higher grade infrastructure advantage, providing important synergies versus a stand-alone Nelligan. This year, we have drilled over 16,000 meters at Nelligan and over 17,000 meters at Monster Lake, with both projects having seen the programs upside and continued success at the drill pit. Upon completion of the transaction, we look forward next year to putting together a comprehensive program at Philibert to extend and expand mineralization as we look to bring all these assets together. As of today, the combination of Nelligan and Monster Lake with Northern Superior's assets an Orbec's property, which are now referred as the Nelligan Mining Complex will rank as the fourth largest preproduction gold camp in Canada with estimated mineral resources of over 3.8 million ounces indicated and 8.7 million ounces inferred. The closing of the proposed transactions remain subject to shareholder votes from both Northern Superior and Orbec shareholders as well as other customary closing conditions for transactions of that nature. Together, this asset has a bright future, and we look forward to welcoming the Northern Superior and Orbec shareholders to the IAMGOLD team. It will be an exciting year for us with significant value growth opportunity ahead and many catalysts, starting with the upside scenario for Cote Gold, but also including the advancement of the Nelligan mining complex as well as the valuable contribution of Westwood and Essakane. So thank you for your support. With that, I would like to pass the call back to the operator for the Q&A. Operator?[ id="-1" name="Operator" /> [Operator Instructions] First question will come from Sathish Kasinathan with Bank of America.
Sathish Kasinathan: Congrats on a strong quarter in addition to initiate share buybacks. My first question is on Cote Gold. So once the secondary crusher is installed, can you give us a sense of like what the anticipated cost improvements could be? Maybe talk about how you see the exit rate of cost as you exit 2025?
Renaud Adams: Yes. It's an excellent question. As we mentioned, we appreciate the very high record free cash flow at Cote and everywhere, but that doesn't take away our focus on cost. We made a conscious choice in the Q2 to maintain the aggregate plant functioning, maximizing throughput, maximizing grade by allowing more rehandling and maximizing grade and production and free cash flow it has worked just perfectly. Now as you've mentioned, moving forward. So as Bruno mentioned in his note or Maarten both, there's about $6 a tonne right from the start on a per tonne of ore by using and operating the aggregate plant. And we think that with the second crusher, we'll be capable to generate our own stockpile internally. So that's one of the focus. So right from the start down the road, and I'm not saying that's going to be a walk in a park in a quarter. But on the milling side, definitely, our objective remains to stabilize eventually down the road towards the $12. We appreciate that there are other assets maybe that could do slightly better. But for us at $12, we believe with the kind of design and configuration, that's probably achievable. There will be some transitions, of course, Q1, probably a transition as we enter Q2. On the mining side, yes, we appreciate the -- again, there's rehandling has been a big component of it. Could we stabilize in the short term more towards the 350. So we're working on our plan as we speak. But we believe that the big component here is to be capable to operate without the aggregate plan, which will have a big effect. There's other aspect we need to improve. We need to improve significantly tire consumption, life on it. There's probably room to improve significantly, 50%, 60% consumption. So all that will have an impact on it. Our objective remains down the road to be as close as the $3 per tonne mine. I know there's been inflation is all over the place and everyone is facing the same. But this is an objective, not going to be there at the start of the year, but as we advance in the year, 3 and 12 remains our strategic target. And that's the risk become pure math. You mine at the reserve grade as we're doing, you try to uplift your grade as you separate the lower grade. And with the 400,000 ounces plus and with a better unit cost and a very low strip ratio at Cote, we definitely see this asset performing amongst the best leading on the cost side. That's what we see. Bruno, do you want to add anything?
Bruno Lemelin: That's exactly right. The mining costs will have better performance once we stop using the aggregate crusher, producing much more leading inland. There's also many projects in terms of improving drilling performance as we drive vertically in the pit with less fracture time. So we expect improvement quarter after quarter.
Renaud Adams: No, no, that's what we could say at this stage as we complete our plan for next year.
Sathish Kasinathan: Yes. That's helpful. Maybe one follow-up on the share buybacks. So I understand that you will begin share repurchases after you pay down the $130 million in debt. But is there like a minimum target in mind maybe tied to a certain percentage of free cash flow that we should look at in terms of the potential for buybacks going forward?
Marthinus Theunissen: Once we have the program in plan by the end of the year, it gives us that flexibility to start allocating capital to the different parts of the business. And we're kind of looking at it in third, where we would look at internal growth and opportunities as well as we still want to repay the amount drawn credit facility, $250 million. And then the third part is buying back shares. We don't have to do this sequentially. We can do all of this at the same time. So we were kind of breaking it down into 2/3 and starting next year, we'll look at the cash being generated and then do it that way. So that's kind of as close as a percentage, I guess, 1/3 that we can give at this point. [ id="-1" name="Operator" /> The next question will come from Tanya Jakusconek.
Tanya Jakusconek: On the balance sheet. I really was impressed on you getting your net debt to EBITDA down so low versus Q2. Sorry, the 4 calls going on at the same time. So I've missed a lot of yours. I want a clarification, if I could. Slide 11, you have a new technical report and mine plan to be released in the second half of '25. I thought that was coming in the second half of '26. Has that been moved forward?
Renaud Adams: No. If there was any mention to '25, that would be a typo or a mistake, Tanya. But no, we remain with disclosure of our next Cote Gold expansion late '26.
Tanya Jakusconek: No, no. I just -- I joined when you talked about Westwood and so it was a slide before, and I noticed that and I said, Oh my God, they've moved it. I wasn't aware of it. Okay. No worries. And just maybe still on Côté, if I could. You talked about bringing the processing cost down to about $12, the mining cost down to 3. We had talked on the previous conference call that you thought you would get there by mid-2026. Should it be fair to say that we're still looking for that second half of '26, where we should see these costs get into that range? Is that a fair assumption?
Renaud Adams: Well, there is one thing that we don't control and it's some external factors. So let's start with that, like if there is an inflation. So I'm looking at our peers, I'm looking at what we could eventually do, and this is our objective. I think the parking the aggregate plan, you would start like transitioning in Q1 and starting in Q2, you must see the effect of much less rehandling, more direct feed to final destinations, a little bit of -- we're going to continue to rehandle around the HGO and if your mine, your grade is lower for a period of time, you would swap in an NGO. But yes, starting Q2, this is where we start seeing effect of it and continue to work very hard towards achieving the lowest. But we need to control our consumptions, mostly around, of course, mentioned tires and rehandling and so forth. I think we're competitive when it comes to the procurement and so forth. So it's really on consumptions and better control of our maintenance. We believe that the HPGR should be running better at 2, allowing to feed it at a smaller size and so forth and increases life. So it's not just like a ticket type of item, but the big impact would start with the pricing. And the cost will be what it would be in the sense that we cannot control some external factor. But what we can control, this is our intention in '26 to get it done.
Tanya Jakusconek: Okay. SO I should sort of mid-'26 that we should hopefully be there.
Renaud Adams: Yes, mid-'26 you should start.
Tanya Jakusconek: Yes. Okay. And can I just come back? I wanted to -- one more technical, if I could. On just on your reserves and resources, I'm asking all companies, what are you thinking about in terms of pricing as you get your mine plans in place and start thinking about your pit shells and so forth. What pricing assumptions are you looking at for year-end 2025 and 2026 sort of inflation in cost?
Renaud Adams: The most important aspects are the reserve. And as we're relooking at Côté and so forth. We're very comfortable to remain at the 1,700 or so for reserve at Côté, and we're going to -- we'll look at as well what the industry is aligning and so forth. So there is no real rush there. Essakane is a longer short-term life of mine. So there's an ability here to increase a bit and maximize cash flow down there. But typically, for our main asset like Côté, we're not seeing more than 1,700 at this stage for the year-end exercise. And we're also testing the long-term resource deposit like the Nelligan and so forth. We'll be testing it probably up to 2,500 as a resource exercise. But we'll be disciplined. We're not intended to use the full gold price in the short term and like to see how the industry -- eventually, of course, we're going to pick the price for the Côté study and so forth, but it is not our intention to transform our asset in low grade using the gold price.
Tanya Jakusconek: Okay. And if I can ask a financial question. I just -- I saw your debt target, your net debt to EBITDA down to 0.74. And I think I heard that we still have another $250 million in 2026 that we want to reduce our debt by. So I'm just wondering, one, is that correct? I should think about another $250 million for 2026. Do we have a net debt-to-EBITDA target you're comfortable with so that I can -- and a minimum cash balance on the balance sheet, so I can then sort of look at my share buyback.
Marthinus Theunissen: So that is correct. We $250 million drawn on the credit facility, and we would like to pay that down in 2025 or 2026. But we also have $130 million left on our second lien that we plan to do this year. So that then leads us to next year. We think $200 million to $250 million is a good minimum cash balance for our company. Over time, as I mentioned earlier, we will probably build that up as 1/3 of the capital allocation would go to that. But that's kind of the main benchmark is $200 million to $250 million minimum cash and then pay down that $250 million. So from a net debt-to-EBITDA ratio, that would bring us down to 0.5 or maybe even less. We are comfortable with 1 and lower, but we also understand it's a very high gold price environment. So we don't put all of our targets for net debt-to-EBITDA using a high gold price. So we're kind of looking at it what would it be at lower gold prices as well. So we don't want it to be much higher than in a lower gold price environment.
Tanya Jakusconek: Okay. That's great. And if I could squeeze in an exploration question. I would really like to talk a little bit about the Nelligan camp. And maybe, Renaud, I'm keen to -- you said there are synergies of that entire camp. It's never going to be called the Nelligan camp once this is done. Can you talk about like is it going to be -- are you envisioning like one central mill to sort of treat all of these ores? Like how are you envisioning this?
Renaud Adams: Well, the -- I have the pleasure to be leading the Rosebel Gold Mines at the very early days of IAMGOLD following the takeover of Cambior. And at the very early days when I rejoined this company, and I was looking at this camp, there was like a kind of an obvious type of look alike, if you will. And I'm sure you're very familiar as well with the Rosebel concept back in time where we started with 2 and eventually had 6 mining areas and so forth. I like that one even further because of the high-grade underground component as well that comes at play. So the kind of the close is for us, and we've operated this place for many years. So we have a pretty good understanding and mining experience. But think of it as a bit of a kind of a Rosebel concept back in time, definitely a center processing facility kind of gravity center and fed and hopefully, multiple mining sources that eventually comes and go as you advance in time. So that's the closest example I could take -- I could think of.
Tanya Jakusconek: And one tailings facility or should I think of that as well?
Renaud Adams: Sorry. Yes, definitely. Yes. One tailing. But again, with the new concept and minimizing footprint and the importance of protecting and minimizing environmental footprint, I could see over time, a kind of a use as well of depleted pit to be incorporated in the scenario of how you minimize for tailings purpose. So early stage, but this is our concept here. So the priority will be Philibert, Nelligan, and Monster Lake and eventually, hopefully, as we continue to drill, maybe incorporating more areas.
Tanya Jakusconek: Look forward to hearing more about it next year. [ id="-1" name="Operator" /> [Operator Instructions] Our next question will come from Anita Soni with CIBC World Markets.
Anita Soni: Similar position to Tanya with a number of competing conference calls. So I apologize if I missed anything. But I just want to follow up on Tanya's questions around costs going into next year. I guess I was just trying to understand if as we look at Cote and sort of push towards higher tonnage sort of things that you're thinking about what are the inflationary factors that you're facing on the mining cost front? And where do you see some offsets in terms of maybe pushing higher tonnes?
Renaud Adams: You were breaking up a bit Anita. Maybe on the mining -- well, if we got your questions on the inflationary aspects on the cost and so forth, yes, we did see some pressure, but it's more around -- we don't see necessarily like on the pressure on the procurement side. And Maarten, you can add to this. I think it's really around the productivity and creating -- moving more towards bulk mining, as Bruno said, as we open the pit even further and creating more phases and minimizing the movement of equipment during blast. This is all productivity. This is all like same equipment, more movement, less rehandling and the tire and improving on drilling blasting. This is like the most important aspect of '26. that would probably get us to a significant improvement. There's no reason for Côté to lag its peers when it comes to the best mining we could do. But we've been very restricted, we haven't allowed the group to really mine within the perfect setting and force a lot of rehandling and so forth. So we need to be patient here and give a chance to the winner here to run the race. Bruno?
Bruno Lemelin: Just to give you an example at the mill maintenance, we've done like numerous operation to try to find the right liners for secondary cone crusher like more than one, I guess. So 5 different type of liners were tested out. And now we are very glad to see that we have one that is performing very well that's going to double the lifetime of the liner. So we expect improved productivity, improved production, and lower cost on the tonne basis. But when you start an operation like the size Côté you need to do some predictors, you need to have an interactive process on some areas to find the best part that will trigger your top line. And that's what we do. It takes sometime, but we know where we have to work on.
Anita Soni: Okay. I know these operations take some time to ramp and you've done a good job.
Renaud Adams: Yes, exactly. And you mentioned more than once. And this is the thing maybe we sound like not direct to the question, but the reality being is from the commissioning, the building of the '23 to the full commissioning in '24 and you're looking at this year, our first year was to really eliminated any red flag remaining and so forth. 90% recovery at the mill, perfect reconciliation, mining at the mining grade, proven our concept of minimizing on segregation and make it more like work. And as you could see 3 quarters in a row where you've actually been capable to uplift at the mill. So those are all like significant milestones for us at the very early days. To say that we enter '26 and that what we want is an average for 4 years of the 36 with a full focus on the cost and you turn back and you look at what this group has achieved to date and now the mission is on the cost, and we're going to have the same focus and the same discipline and attacking this. I have all reason to believe that we're going to do like great, great, great improvement on this and that would be the first time really where we're going to be focusing on. So from -- it's kind of the next logical step for us after focusing this year on throughput and free cash flow and ounces and so forth. So I have all reason to believe, Anita, that you're going to see great things coming out of Côté as we make it our priority next year.
Anita Soni: Yes. So for most of the operations that are doing well, year 3 is definitely the optimization year and that's year 2026.
Renaud Adams: Absolutely.
Anita Soni: So can I just ask just one more question in terms of grades. The mill plant feed has been above the mine grade, right? You had created something is in stockpile previously. But now the mining the grades are sort of in the 0.9 level this quarter. What should we be expecting like what the grade profile looks like going into next year? Is it going to be more along reserve grade? Or will you still have a couple of quarters of mill feed…
Renaud Adams: I'll pass it to Bruno.
Bruno Lemelin: Anita, this is Bruno. We have already like good inventory of high grade at the end of Q3. But the question is if we mine at 0.96, how long are we going to be able to mill at a grade above that. So we are currently looking at our 2026 budget and intent is still to mine higher proportion of ore that would have grade above the average grade. So the goal for Côté is definitely to be averaging mining at average grade, but the first three years is going to be a little bit above that. So we are talking about 1.1, 1.2, which will give us like a good path forward 400,000 gold ounce per annum. And while we are increasing capacity at the mill the grade will be reduced, but still protecting that 4, 4.50 level.
Renaud Adams: Yes, if I may just add something to it. It has a lot to do as well with the volume you mine, correct? So if you look at this year how do you move from 0.96 mine to uplifting above 1.1 at the mill has a lot to do with, not super segregation, at least remove the lower grade glass from your inventory and just talk about the long term. So that practice could continue a little bit down the road. So I am confident by mining the reserve we will be capable to continue to uplift along the line of what we're seeing here. [ id="-1" name="Operator" /> The next question will come from Mohamed Sidibe with National Bank Capital Markets.
Mohamed Sidibe: Apologies, I missed the start of the conference call due to conflict there. But on the grade front, but not at Côté, but maybe at Westwood, given the challenging ground conditions, I think you've seen improvement in October in terms of the underground grade there. How should we think about Q4 and maybe next year 2026 as we think about the Westwood grades and the mining rate there?
Renaud Adams: Go ahead, Bruno.
Bruno Lemelin: Mohamed, so the plan or if I can explain Westwood on the east side as areas with less challenging ground conditions, but with lower grade. On the central zone and western zone it has the ability to give better grades but with more challenging ground condition. So what -- when we started facing those challenging ground conditions, we just shifted our strategy and resequence the production mine tonnes toward the east. So that's the reason why you see the lower grade since the beginning of this year. Since then, we have readjusted the way that we do our blasting pattern, drilling patterns, stope design, stope parameters to take into account these ground conditions. I'm very pleased to say that we have been very successful in October in those zone and the average grade that we collected was above mine grams per tonne. And right now, what we have is we have an inventory of almost 1.5 months in front of us that are accessible. So I think the algorithm that we have developed over the past few years is working fine, but we just need to refine it further at the stope level so we can safely and profitably each so that we have in the sequence. So we just had to make some readjustment. So for the Q4, we expect a very strong Q4. And for 2026, it's going to be a balancing act between how much stope we're going to be scheduling in the east side and the central zone. So it's a risk adjusted type of plan. And again, Westwood is a mine that needs to deliver 10,000 gold ounce a month to be on [ XO ]. So very, very confident about the rest of the year and 2026 bodes very well.
Renaud Adams: If I may just add to this, and thank you, Bruno, for this. To be very frank, like the mine like we did extremely well in '24, rehabilitated all the zone. There is maybe some aspect of it that maybe we try to run a little bit before walking. But the plan is I really have all the confidence that it's pure engineering, and we're already seeing quite a bit of turnaround and back on our feet. But the way we look at the mine is like we'll be absolutely happy, as Bruno says, an average of $10,000 a month, a mine capable to operate sub-2,000, bringing like significant free cash flow and longevity. So that's how we think of this mine for the next 2, 3 years. The future could be very exciting, depending on what happens in uncovering all the resources to the east and so forth. So more to come on that one. But for the time being, when I look at the next 2, 3 years, we'll be absolutely happy with the mine predictable capable to deliver if it's 10,000 a month, sub 2,000. With that, we'll be very happy and it would do very well for us.
Mohamed Sidibe: That's very helpful. And if I could maybe shift to Essakane. I think you noted -- again, maybe you already commented on this, but you noted that you had in August a fuel shortage in the country. As you're looking at your operations now, we've heard kind of neighboring countries having issues and know that some of the Ivory Coast energy being provided to Burkina may have had some challenges there as well. But are you seeing any impact from fuel pressures at operation at Essakane currently? Or what is the latest that you can provide us on that front?
Bruno Lemelin: So Mohamed, we are not using the same route as Mali does. So we have a very specific supply routes for fuel. So that's one. The second thing is that we have more than 48 days of inventory at site. So it gives us enough time to rearrange our logistics should we have like some hiccups. We have enough to maintain the operations uninterrupted. So it requires good logistic efforts, and we have continuous support from the government, allowing us to bring the fuels at sites at the appropriate time. But the main strategy was to make sure that we have enough fuel depo at Essakane so we can withstand a long period of time without supplies arriving to Essakane. So in a sense, we're not using the same roads. We don't see the same type of pressures as Mali and so far the other strategy that we have is increased inventory at site.
Mohamed Sidibe: Great to hear. And a final question maybe on the complex and great consolidation of the complex there. What should we look at in terms of next key steps for this complex? I know that you're advancing an exploration campaign there with potential resource update in early 2026. But how could we look at this beyond what are the next key steps for the zone?
Renaud Adams: So just quickly on it. So expect us like focusing on resource growth in '26, the incorporations of Philibert. So we need to answer one question that is really key. How big could that Philibert be and how does it fit in the mine plan, right? So this is the very, very key focus of '26, increased drilling program. We'll be aggressive but smart about proven record from the team. I'm not concerned at all there. And I think we will do a very good use of money deployed there. But that's the very short term. And as I mentioned, we were hoping of maybe putting some sort of a study in '26, but I think it's worthwhile like getting great answers from. Objective with almost 12 million already. So we could only shoot for the 15 million, 20 million camp. And this is what we're going to be doing. We're going to drill, drill, drill and hopefully having a very good update resource update late '26. Having said that, Nelligan and Monster Lake will be somewhat updated at year-end with the drilling of '25 in it. But look at it as resource grows in the next year or 2, and then we'll start putting study out there. And anything we could advance and start putting in place, we'll do it. But we have a high, high level of confidence that this is going to be a mining camp. Bruno, if you want to add anything to this? [ id="-1" name="Operator" /> This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Graeme Jennings for any closing remarks. Please go ahead.
Graeme Jennings: Thank you very much, operator, and as always thank you, everyone, for joining. If you have any questions please reach out to Bruno or myself. Thank you all. Be safe. Have a great day. [ id="-1" name="Operator" /> This brings to a close today's conference call. You may disconnect your lines. Thank you for your participation, and have a pleasant day.